Operator: Good afternoon and welcome to the Beyond Air Financial Results Call for the Second Quarter of 2022 ended June 30, 2021. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. And now, I would like to turn the call over to Maria Yonkoski, Head of Investor Relations at Beyond Air. Please, go ahead.
Maria Yonkoski: Thank you, Operator. Good afternoon everyone, and thank you for joining us. Today after market closed, we issued a press release announcing the Second Fiscal Quarter 2022 Operational Highlights and Financial Results. A copy of this press release can be found on the Investor Relations page of our website. Before we begin, I would like to remind everyone that we will be making comments and various remarks about future expectations, plans and prospects, which constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Beyond Air cautions that these forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those indicated. We encourage everyone to review the company's filings with the Securities and Exchange Commission, including without limitation, the company's Form 10-K, which identifies specific factors that may cause actual results or events to differ materially from those described in the forward-looking statements. Additionally, this conference call is being recorded and will be available for audio rebroadcast on our website, www.beyondair.net. Furthermore, the content of this conference call contains time-sensitive information that is accurate only as of the date of the live broadcast, November 11 2021. Beyond Air undertakes no obligation to revise or update any statements to reflect events or circumstances after the date of this call. Joining me on today's call are Steve Lisi, our Chairman and Chief Executive Officer; Duncan Fatkin, our Chief Commercial Officer; and Douglas Larson, our new Chief Financial Officer. With that, I will turn the call over to Steve Lisi, our CEO. Steve?
Steve Lisi: Thank you, Maria and thanks everyone for joining us on the call this afternoon. This quarter has been a busy one and I'm excited to share our recent highlights with you, as well as provide some insight on how we think about our active portfolio management strategy. Most significantly, we recently announced a separation of our oncology business into a new independently managed private entity called Beyond Cancer. This decision was made after careful consideration although it would be the best path forward for all stakeholders. And I will talk about the future plans for our affiliate in greater detail in a minute. First I want to give a quick update on our pending PMA application for the LungFit PH system to treat persistent pulmonary hypertension of the newborn or PPHN. We are very pleased with our ongoing communication and progress with FDA. We will continue to provide FDA with any and all information and support they need to grant approval for our LungFit PH. Our commercial team is prepared to launch in December 2021 consistent with our guidance provided in September. This quarter, we also successfully completed the stage 1 assessment audit of our quality system for CE Mark in Europe. We anticipate receiving CE Mark in the first half of calendar 2022. I will defer to our Chief Commercial Officer, Duncan Fatkin to elaborate on our U.S. launch preparation shortly. Turning now to recent R&D highlights. In mid October we released interim data from our ongoing Nontuberculous Mycobacteria or NTM pilot study using the LungFit Pro device. As you may recall, we began screening patients for this trial in December 2020 in Australia. Despite some setbacks due to the difficult COVID-19 lockdown environment in Australia, the Beyond Air team and our Austrian colleagues have been doing an outstanding job navigating these challenges. At the time of data cut off on September 6, we had a total of 8 refractory NTM patients enrolled, all of whom have been titrated up to the maximum dose of 250 parts per million nitric oxide with no dose reductions, no study discontinuations, and no treatment related serious adverse events reported. To our knowledge 250 parts per million is the highest concentration of inhaled nitric oxide that has ever been tested in a clinical trial with patients self-administering treatment in a home setting. These data provide a high-level of confidence with respect to the safety of 250 parts per million NO, because all subjects remained within the acceptable safety ranges from even lower [ph] levels and NO2 concentrations below 10% and 5 parts per million respectively. We attribute this success to the intermittent dosing regimen which allows for high concentration NO to be administered without negative effects. Enrollment continues and we anticipate reporting full safety and efficacy results in 2022. The success of this trial will be a game changer for the home setting and we could potentially target other chronic, severe lung infections with various underlying conditions such as chronic obstructive pulmonary disease or COPD with our LungFit GO system. Moving on to our viral lung infections program, which uses the LungFit Pro system at 150 parts per million NO to treat acute viral pneumonia in adults and bronchiolitis in children under two years of age. Our pilot study in adult viral pneumonia including COVID-19 remains active with trial sites open for enrollment. Our plan is to submit the entirety of the data at 150 to 160 parts per million NO in both hospitalized adults and infant viral pneumonia patient populations as one comprehensive data package to the FDA. We would like to move to a pivotal all comer trial for LungFit Pro in patients hospitalized with viral pneumonia and anticipate pending agreement with FDA starting this study in the fourth quarter of calendar year 2022 the timing of which is due to the seasonality of most respiratory viruses. As a reminder, we have completed three randomized, double blind, controlled studies in infants under the age of 12 months hospitalized with bronchiolitis and there were consistent positive signals for both safety and efficacy in those trials. A total of 198 infants were enrolled in the three trials and our third study provided statistical significance 150 parts per million NO dosed four times per day for up to five days was compared to standard of care or 85 parts per million NO for both the primary endpoint are fit to discharge from the hospital and the key secondary endpoint of hospital length of stay. And the acute viral pneumonia trials to date we have presented data on 19 COVID-19 patients at the 2021 American Thoracic Society meeting in May 2021. And we showed data consistent with what we're seeing in the bronchiolitis studies. Finally, I will discuss our oncology business and the decision to spin it out into Beyond Cancer. The oncology program has always existed outside of the LungFit platform due to the ultrahigh concentrations of nitric oxide that are required to achieve anticancer properties. We have developed proprietary device that in a single treatment can deliver up to 200,000 parts per million NO directly to a solid tumor site. We call this NO therapy [ph] for ultrahigh concentration nitric oxide. Based on our current preclinical findings, NO therapy [ph] may not only partially ablate or shrink tumors locally, but also can arm the immune system to recognize and attack this same tumor type wherever it may reside in the body. Our preclinical data shows that treating a tumor with immune therapy [ph] will cause local cell death exposing the immune system to tumor antigens thereby creating a memory immune response. On a patient level, this could mean providing cancer patients and their families with the confidence that their disease will not recur or metastasize. Currently the standard of care for solid tumors is surgery, cytotoxic chemotherapy, radiotherapy or a combination of all three. While in recent years immunomodulating therapies have shown promise in improving outcomes the hematological cancers are significant unmet need remains in the treatment of solid tumors. Solid tumors represent approximately 90% of adult human cancers and metastatic disease responsible for 90% of death from solid tumors. This is a huge market with a significant unmet medical need. Checkpoint inhibitors alone account for over 25 billion in sales in 2020. We believe that lung therapy has the potential to improve the condition of patients with certain solid tumors as a monotherapy, but also believe that the effects of chemotherapy, radiation therapy, checkpoint inhibitors as well as other treatments maybe enhanced with NO combination therapy. Beyond Air Board and Management Team have been highly encouraged by the early results from the solid tumor program. Given this early promise, we recognize that our capital allocation strategy moving forward would change given the resources that would be required to accelerate the oncology program. Our focus is on the transformation of LungFit platform technology and bringing it to the clinic as quickly and efficiently as possible. Thus far, resources that we have been investing in our oncology business were not impacting our LungFit programs. However, when evaluating our existing portfolio management strategy, it became clear that this separation of business was imminent and necessary. This will enable Beyond Air to solely focus on existing LungFit programs as well as allow for investment into other respiratory diseases where we can have a greater impact on our patients. It was time to bring on a management team dedicated to oncology and I'm extremely pleased with the talent that will take on the mission of creating a next generation of immuno oncology treatments. Beyond Cancer will be led by Chief Executive Officer Selena Chaisson, a Stanford trained physician who brings with her over 25 years of investment management experience from the financial sector, including the last 16 years as Director of Healthcare Investments at Bailard where a substantial portion of her portfolio was oncology companies. Dr. Hila Confino, the cancer immunologist who led the efforts at Beyond Air to bring this program to where it is today, has joined Beyond Cancer as Chief Scientific Officer to continue the journey with Dr. Chaisson. It will be a pleasure to watch these two change the way we approach the treatment of solid tumors. Additionally, Beyond Cancer has received commitments from people who have few more key positions including Chief Medical Officer. Announcements for these hires will be made over the coming months. The Beyond Cancer Board Directors will consists of six members, three of whom will be from Beyond Air. I will serve as Chairman of the Board, our Co-Founder and President Chief Operating Officer, Amir Avniel will serve as Executive Director, and Bob Carey our current Beyond Air Board Member will be a Director. Chaisson will also be a Director and we'll recruit two more members. Announcements on new Board members as well as Scientific Advisory Board Members will begin shortly. None of this would be possible without a dedicated investor base. Recently $23.9 million was raised in a private round to fund Beyond Cancer, which is subject to change with the final close occurring in a few weeks, but will not exceed $30 million. If $30 million is achieved Beyond Air will own 80% of Beyond Cancer. Beyond Air will also benefit from a single-digit royalty payment of all future revenues. In exchange Beyond Cancer will benefit from Beyond Air's nitric oxide expertise, intellectual property portfolio, preclinical oncology team, regulatory progress and continued support across many areas such as regulatory, legal, finance, and clinical among others. The initial funding will be used to accelerate ongoing preclinical work including completion of IND enabling studies and expansion of preclinical programs or combination studies, as well as completion of a Phase 1 study, optimization of the NO delivery system and building out the Beyond Cancer team. We truly believe that spinning off the oncology business will create long-term value for all shareholders and we are excited to monitor the progress. I will now turn the call over to Duncan Fatkin, the Chief Commercial Officer of Beyond Air to provide additional details on the U.S. commercial launch for LungFit PH.
Duncan Fatkin: Thanks Steve and good afternoon to our investors. I'm pleased to report that we have made rapid progress by expanding our commercial organization, optimizing our customer service model, and refining our go-to-market plan. We are ready to launch LungFit PH domestically as soon as we receive approval. As I have previously stated, we are preparing for a limited release for the first six to nine months post launch. Our strategy for this first phase will be to target a select number of hospitals that have level 3 or level 4 NICUs and staff familiar with inhaled nitric oxide. We will launch with a highly experienced team that will work closely with these hospitals to ensure that we have optimized our logistics, customer service, and product performance in the first limited release phase. Since many hospitals are currently in multiyear contracts with our cylinder base competitors we will be targeting hospitals with less than 12 months left on their existing contracts and we anticipated taking approximately four years to have an opportunity to convert every hospital that uses nitric oxide in the United States. As a reminder, here are the main areas of immediate focus. Firstly, building a team. We already have our preapproval launch team in place and have identified candidates for the extended team who we plan to recruit once approval is obtained. We have numerous respected therapists on staff and experienced leaders to run our sales, marketing, and ex-US partnership efforts. Secondly our supply chain preparation is well advanced and going according to plan. In preparation for FDA approval we will have all the LungFit PH systems and accessories we need and our service and support resources are in place. Lastly, we are finalizing our marketing plan. Potential customers continue to reach out to us for information on LungFit PH and this allows us to refine our marketing materials, messaging and the business model. I have previously mentioned that the first major conference following the expected time line for FDA approval is the AARC or American Association for Respiratory Care which was originally planned to be live in Phoenix. That conference is now virtual in December and we continue to target that meeting as the first introduction of LungFit PH to the world. Stay tuned as we will provide more detail of our plans in the coming weeks. Our vision is to harness the power of nitric oxide to unlock access, empower healthcare providers and transform more lives in more ways. As we learn more about the challenges and opportunities for the PPHN population, we're even more excited to bring the LungFit PH, the ground breaking all in one nitric oxide generator, monitoring and delivery system, to the U.S. market and the world so we can start to turn that vision into a reality. Thank you and I will now turn the call over to Doug for the firm financial review. Doug?
Douglas Larson: Thanks Duncan. Before I jump into the numbers, I wanted to formally introduce myself to our investor community. I joined Beyond Air a few months ago, and I'm very excited to have the opportunity to join such a strong team as we advance the pipeline and transition to a global commercial stage company. Now turning to the brief review of our financial results for our second fiscal quarter of 2022, which ended on September 30, 2021. Revenue for the fiscal quarter ended September 30, 2021 was zero compared to $0.4 million for the fiscal quarter ended September 30, 2020, all of which was licensing revenue. Research and development expenses for the fiscal quarter ended September 30, 2021 were $2.8 million compared to $3.1 million for the fiscal quarter ended September 30, 2020. General and administrative expenses for the fiscal quarter ended September 30, 2021 were $3.4 million compared to $2.2 million for the fiscal quarter ended September 30, 2020. Other income and expense for the fiscal quarter ended September 30, 2021, was a loss of $2.5 million compared to a loss of $0.2 million for the fiscal quarter ended September 30, 2020. For the fiscal quarter ended September 30, 2021, the company had a net loss of $8.7 million or $0.36 per share compared to a loss of $5.1 million or $0.30 per share for the fiscal quarter ended September 30, 2020. As of September 30, 2021, the company had cash and cash equivalents of $47.7 million. I would also like to run through a few things that occurred subsequent to the end of the quarter. First, we retired $5 million in debt which removed all of our outstanding long-term debt. Second, we will need to restrict the use of $7.4 million of cash, related to the negative outcome of litigation pending its appeal. Finally, we used our equity line of credit and our aftermarket financing vehicle to raise an additional $14.2 million since September 30. Taking these items into account, plus all other cash disbursements since September 30, our cash and cash equivalents as of November 10, was $46.5 million. Note that this does not include any of the cash that we received from the financing of Beyond Cancer Limited that we announced last week. We believe this cash is sufficient to fund operations well beyond the next 12 months, including the commercial launch phase of LungFit PH in the U.S. And with that I'll hand the call back to Steve.
Steve Lisi: Thanks, Doug. Before taking your questions it is important to take a moment to appreciate the efforts of the Beyond Air team that has gotten us to this point. I am very fortunate to be part of this outstanding team and I am positive that only this team could have accomplished so much in a short period of time. Operator, we're now ready for Q&A.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you, our first question is from Greg Frasier with Truist Securities. Please proceed with your question.
Gregory Frasier: Great, thanks for taking the questions. First on LungFit PH, have some or all of the pre-approval inspections been completed, just any colour on the inspection process would be helpful?
Steve Lisi: Thanks Greg. Yes, they've been completed.
Gregory Frasier: Okay and then thinking ahead further into commercialization, probably on kind of first phase, based on discussions that you've the possibility, do you think that there will be some that are price sensitive and looking for a discount versus the first dynamics despite the advantages of the LungFit system?
Steve Lisi: I think everybody's going to try to get the best price that they can, of course, it's always negotiation in every sense of word, but I'm going to pass this over to Duncan Fatkin, our Chief Commercial Officer to elaborate a little bit more.
Duncan Fatkin: Thanks for the question, Greg. I mean as Steve said clearly there are more entrants in the market, so there’s now three players, so there's going to be a little bit of price pressure, but we're not planning to compete on price. We expect to be able to tell the story about how a system is in its own certain category, it's the only system that uses room air to generate nitric oxide, there’s no cassette or cylinder, so there are a lot of benefits to use in our system in terms of reducing the cost of logistics, the safety benefits and certainly monitoring. And so from our perspective, people -- we expect people and our research tells us and the conversations tells us that they will value the overall benefits that we're going to bring to market. So we don't expect to be competing on price despite the fact that there is some pressure out that we’re very aware of that, but that's not going to change our strategy.
Gregory Frasier: Got it. That's very helpful, and then a question on LungFit GO, the study for NTM lung disease, have you gotten any interim data on any of the efficacy measures such as quality of life or physical function?
Steve Lisi: Yes, we were unable to gather the efficacy data due to the COVID-19 related lockdowns in Australia it’s very difficult to go into the hospitals and gather these data, so wasn't available when we put out our interim look. So I think that we won't see any of those data until sometime next year. I think things are loosened up a bit in Australia, but a little bit of a backlog in g0etting things done, so it's going to take a little bit of time, it's just the way the world works right now.
Gregory Frasier: Yes, understood. Okay, I’ll hop back in the queue, but thanks for taking the questions.
Steve Lisi: Thanks Greg.
Operator: Thank you. Our next question comes from Suraj Kalia with Oppenheimer. Please proceed with your question.
Suraj Kalia: Good afternoon, Steve, Duncan, can you hear me all right?
Steve Lisi: Yes, Suraj. Yes, thanks.
Suraj Kalia: So, Steve, Duncan, either one of, you all articulated that the supply chain issues you'll have managed it well, and as you look forward to commercial launch in a few weeks post approval, may I ask components of how many systems are on hand for let’s say next two to four quarters, just trying to get a sense of how you have managed at least the next four quarters?
Steve Lisi: Suraj, we're not overly concerned over the next four quarters in terms of supply. I guess that would also kind of dictate how many hospitals we going to be in at the end of four quarters, so we're not going to provide that kind of information, but we're comfortable with the supply chain. We believe we certainly have enough material to launch this product during this first focused phase launch and when we go to that next stage of launch, we'll certainly be ready with our supply. This is assuming things don't get worse, but as things stand now we're very comfortable with the adjustments that have been made over the past several months to deal with this. Duncan, do you have anything to add?
Duncan Fatkin: Yes, thanks Suraj, thanks for the question. I mean, we've consistently said that we're going to in this first phase take between six and nine months to work with a dozen hospitals and none of the supply chain issues that exist globally are affecting us. It's certainly not going to change the approach and our ability to get to those hospitals. So we certainly don't have any concerns at this time.
Suraj Kalia: Got it, sorry I had to try. Hey Steve on the CE mark, remind us of the European opportunity and just like you all have consistently talked about NICUs and the four-year timeline for U.S. adoption and layout, and what your initial sites are, and all that. Can you just kind of give us some additional granularity on European sites and how you think about the Europe, the Europe opportunity?
Steve Lisi: I mean, it's smaller than the U.S. opportunity, that's for sure, but not that much smaller, it could be about half the size of the U.S. So we, obviously, it's going to get started a little later and approval is going to come later. And it does take time to get through the process in each country there to get going. Plus, we will be looking for a partner. So I think the European launch is going to lag the U.S. launch by about a year or so. But, I think the adoption curve is going to be fairly similar to the U.S. adoption curve. It's a competitive environment there as well. So, you know, I hope that gives you some color on the European opportunity.
Suraj Kalia: Fair enough, Steve, Duncan, I do appreciate it and we look forward to your approval. It's a long time coming and I hope you guys hit the ground running. Thank you very much for taking my questions.
Steve Lisi: Thanks, Suraj.
Operator: Thank you. Our next question is from Scott Henry with ROTH Capital. Please proceed with your question.
Scott Henry: Thank you and good afternoon. A couple of questions, I guess first, starting with the Beyond Cancer kind of spin out, assuming you will own 80% of it, will you consolidate that in your financial statements? Is that how we should think about it?
Douglas Larson: Yes, thanks, Scott. Yes, we will be consolidating roughly the 80% ownership that we'll have.
Scott Henry: Okay. And I mean, the bigger issue, too, when I saw the press release and the terms, it seems like you're unlocking a lot of value there. So if I look at the numbers, $23 million or as much as $30 million for 20% of the company would put a substantial equity value on that entity, which I would doubt was in there currently. I mean, can you talk about that, about how do you think it offers the ability to unlock that value that perhaps had been missed Prior?
Douglas Larson: Yes. Thanks, Scott. I mean, look, it's easy to back into the number $30 million comes in 20% ownership, that means that Beyond Air would own $120 million of value in the cancer program. So it's nice to see investors coming in and validating the value of the cancer program. And, again, not just investors coming in, but the management team that's come on board, I think many of you know Selena and the team she's building is going to be, I hate to say it, but they're going to do a hell of a better job of managing cancer than I could with the team here, although Amir might be upset by me saying that, but I know he's going to be heavily involved as well as going forward. So yes, this is a very important program. We chose to move cancer along, rather than COPD over the past few years. That's how promising it was when we got the first data. And it's even more promising now that we've moved it forward to this point where we're, just a few short months away from beginning to enroll patients in our first human study. So it's very exciting. People who've come to us as investors, as the management team, and as well as some consultants that are working with us, everybody is very excited about this. And it's a brand new mechanisms never been seen before. So hopefully, things work out in Phase 1, and then there'll be even more excitement around this. So I appreciate the question. And I think that yes, the value has always been there. It's just, I think now people can see it more than, than before, as it was just a preclinical program behind our three clinical programs. So maybe it was just kind of being missed, because it was a preclinical project, but now it's an entity on its own.
Scott Henry: Congratulations. That's a lot of progress over the past year. The final question and I don't know how much granularity you want to give on this, but how should we think about the magnitude of marketing spend over the first 12 months post-launch? We're a little closer to that date. I don't know if you can put some range around that or just any sense of the magnitude of spend for the first year? I imagine it's not going to be gigantic, but I just want to get a sense. Thank you.
Douglas Larson: Scott. I'm going to pass this to Duncan, but the only thing I'm going to say before that is, this is standard of care in the hospitals that use NO. I mean, there's not much education that needs to be done here from that perspective and we're certainly not doing DTC advertising. So, go ahead Duncan?
Duncan Fatkin: Yes. Hi, Scott. Yes, I think that, obviously, we're not approved. So we can't promote the product to this point. The good news is there's a very high level of awareness, because this marketplace, it's a fairly tightly held community, they're very aware of the presence of organization, their devices, and we certainly have a fairly consistent income in calls to learn about the device. And so, from that point of view, we certainly don't expect a significant amount of investment. In fact, we already have made a lot of the investments to ensure that we have a really strong, now virtual launch, when we go to market, we already have our pre launch team in place. So that's already sort of built into our cost base. And any of the additional costs should pretty quickly be covered by the progress we make from a revenue generation perspective, especially as we get into that second phase. So obviously, there is going to be an increase, but we've already done a lot of preparation. We don't have to raise awareness, which is a great place for us to be.
Scott Henry: Okay, great. Thank you for the color on that and thank you for taking the questions.
Operator: Thank you. Our next question comes from Matt Kaplan with Ladenburg Thalmann. Please proceed with your question.
Matt Kaplan: Hi, thanks for taking my questions. I guess, staying on the commercialization preparation, maybe for Duncan, have you ID-ed the hospitals that you're going to target in the initial launch section yet, of the launch?
Duncan Fatkin: Yes, thanks Matt. There's a couple of components to this. Firstly, as I just mentioned, there are a significant number of hospitals that have already been reaching out to us over the last couple of years, ever since we were last, physically able to connect with this community. We certainly know where the key hospitals are. And we'll make choices about which hospitals we'll go to based on a combination of factors, including geographical location, the specific requirements they have and the expertise they have. And obviously, at times that'll be a difficult decision, because we're in a phased launch, but we're certainly looking forward to it and we very much know where the key hospitals are.
Matt Kaplan: Okay, very good. And then Steve, with respect to the PMA approval, it sounds like you're really kind of at the last steps there now with the pre-approval inspections behind you. Is there a kind of one gating factor that's still remaining or how should we think about it?
Steve Lisi: I can't tell you how to think about it, Matt, because, we're just waiting. I mean, we've done all we can, and we're going to keep working with FDA. So, we just kind of are reacting to them and working with them and we'll get there eventually.
Matt Kaplan: Okay, fair enough. And then congratulations on the announcement with and the formation of your subsidiary Beyond Cancer. I just wanted to focus in on that and can you paint a picture for us in terms of that program moving through preclinical development and potentially into the clinic and how we should expect kind of news over the next 6, 12 months as you move and strong?
Steve Lisi: Yes, I mean, the preclinical processes were obviously, almost at the end here. We're saying early next year, we'll be enrolling patients in our first in human study, so pretty excited about that. And as, it doesn't end obviously, the preclinical work will continue in parallel to the human study. So hopefully, we will have some more preclinical work to share with you next year, perhaps some combination data with some of the other therapies out there as well as showing some of that Phase 1 data in the back half of next year. So that's what you expect. We'll definitely have some publications. So it'll be an exciting time. So there'll be news coming out. I mean, Beyond Air will be press releasing the information, obviously, since will be an 80% owner of Beyond Cancer, so the news will get out there and you'll be able to see everything.
Matt Kaplan: Yes, I know, looks like a great way to unlock value from that program. Thanks for taking my questions.
Steve Lisi: Thanks, Matt.
Operator: Thank you. Our next question will come from Yale Jen with Laidlaw and Company. Please proceed with your question.
Yale Jen: Okay, thanks, Steve. And thanks for having me out for get connected. My first question to follow what Matt has asked a little bit more specifically in terms of the Beyond Cancer, which is that we know that you guys had preclinical data presented at this earlier this years? And should we anticipate additional presentations to come up? Or I'm just thinking about is always as the AACR and or other those meetings that with a high oncology focus?
Steve Lisi: Yes, I mean, look yes, we're certainly going to, be submitting our abstracts for conferences for 2022. So we can show more data, there's no doubt about that. So pending acceptance into these meetings, we'll be showing more data, for sure.
Yale Jen: Okay, great, that's helpful. And one question just about the CE Mark, what might be the gating factor at this point, toward potential approval in the first half of next year? Any other specific work you guys need to do or simply just responding to the Agency's question, so when?
Steve Lisi: Yes, so getting a CE Mark is a little different than getting FDA approval. So there's a process there and we're going through that process, as we stated a few months ago, it's started up and that process should end in the first half of next year. And we believe we'll get approval in the first half of next year. So it's just a matter of taking all the work we've done, obviously to submit to FDA work with FDA towards a PMA approval, and use that information to get the CE Mark. And it's not, just turning around and showing the paperwork. I mean, there's -- there are some differences in terms of what is needed for CE Mark, but it's not a huge difference. And we've done this work. We're fully ready to work with the notified body in Europe and again, the process is kind of fluid. So there's no real, hey we have to achieve this goal. I mean, it's just a matter of going back and forth with them and satisfying all the requests. So we're in that process, and we feel very comfortable and confident that we'll get through it.
Yale Jen: Okay, maybe the last question here is probably for Duncan, which is that I understand that you guys are gearing up for reaching the different hospitals with NICUs. I understand also, this is not fully approved, formally approved for any cardiovascular use. But my question is that, was there any request for the cardiovascular side of the hospital that about the LungFit PH and that type of interest at the moment?
Duncan Fatkin: So thanks for the question Yale. So we are obviously focused on promoting the products post approval on PPHN the indication that we'll get it for we haven't had any conversation in the pre-approval phase, all we're doing is responding to customers questions and doing any demos. What we will do is post approval shortly afterwards, we'll be applying for the cut out label expansion and that will allow us to unlock that potential and that's the way we're going to move forward.
Yale Jen: Is that the case that although you guys care, that formula, promoting anything on that side, but from later and actively requesting questions to you guys request to you guys to ask for more information?
Duncan Fatkin: Yes, we can only promote on the label and if we get any requests, we will have a formal process to respond to those requests.
Yale Jen: Okay, great. That's very helpful and congrats to reaching the finish line.
Steve Lisi: Thanks, Yale.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to Steve Lisi for any closing comments.
Steve Lisi: Thanks everyone for taking the time this afternoon and I'll talk to you soon.
Operator: This concludes today's conference. You may now disconnect your lines. Thank you for your participation.